Operator: Hello and welcome to BCP Investment Corporation's Fourth Quarter and Full Year Ended December 31, 2025 Earnings Conference Call. An earnings press release was distributed yesterday, March 5, after market close. A copy of the release, along with an earnings presentation, is available on the company's website at www.bpinvestmentcorporation.com in the investor relations section and should be reviewed in conjunction with the company's Form 10-K filed yesterday with the SEC. As a reminder, this conference call is being recorded for replay purposes. Please note that today's conference call may contain forward-looking statements, which are not guarantees of future performance or results and involve a number of risks and uncertainties. Actual results may differ materially from those in the forward-looking statements as a result of a number of factors, including those described in the company's filings with the SEC. BCP Investment Corporation assumes no obligation to update any such forward-looking statements unless required by law. Speaking on today's call will be Ted Goldthorpe, Chief Executive Officer, President, and Director of BCP Investment Corporation; Brandon Satoren, Chief Financial Officer; and Patrick Schafer, Chief Investment Officer. With that, I would now like to turn the call over to Ted Goldthorpe, Chief Executive Officer of BCP Investment Corporation. Please go ahead, Ted. Good morning.
Ted Goldthorpe: Welcome to our fourth quarter and full year 2025 earnings call. I am joined today by our Chief Financial Officer, Brandon Satoren; our Chief Investment Officer, Patrick Schafer; and the rest of the team. Following my opening remarks on the company's performance and activities during the fourth quarter and full year, Patrick will provide commentary on our investment portfolio and our markets, and Brandon will discuss our operating results and financial condition in greater detail. I would like to start by discussing some highlights. 2025 was a transformational year for the company. In July, we completed our merger with Logan Ridge, and in August, we successfully completed a rebranding and name change. The merger meaningfully strengthened our platform, expanded our scale, and broadened our portfolio diversification. At the same time, our rebranding better reflects our affiliation with the broader BC Partners Credit platform and is a representation of our long-term vision as we position the company for its next phase of growth. In December, we completed our tender offer by purchasing roughly 558,000 shares at an aggregate cost of approximately $7,600,000, which was accretive to NAV by $0.18 per share. Consistent with our diligent capital markets management strategy, during the year, we also proactively extended and laddered our unsecured debt maturities, issuing $75,000,000 of 7.75% notes due October 2030 and $35,000,000 of 7.50% notes due October 2028, while also redeeming our 4.875% notes due 2026. These actions further diversified our funding base and provide us with enhanced financial flexibility. As a result of this year's performance and the successful execution of multiple strategic initiatives, the Board of Directors approved a quarterly base distribution of $0.32 per share for the quarter ended 03/31/2026. Additionally, the Board also approved the transition of the company's base dividend payment schedule from quarterly to monthly beginning in April 2026 while retaining the potential for quarterly supplemental distributions. We believe this change better aligns our distribution schedule with shareholder interests. The Board approved a regular monthly base distribution of $0.09 per share for each of the months of April, May, and June 2026. Also consistent with previous years, on 03/04/2026, the Board authorized a renewed stock purchase program of up to $10,000,000 for approximately a one-year period. All these initiatives I have discussed are designed to enhance shareholder value and reaffirm our commitment to shareholders. During the quarter, we generated net investment income of $7,400,000, or $0.57 per share, compared to $8,800,000, or $0.71 per share, in the prior quarter. For the year, we generated $25,100,000, or $2.28 per share, compared to $24,000,000, or $2.59 per share, for 2024. We remain focused on executing our strategic initiatives, managing expenses, optimizing portfolio positioning, and earnings and distribution coverage over time. Before handing the call over, I would like to take a moment to address recent developments in the broader credit markets, specifically regarding the software segment. Over the last several weeks, we have seen a notable risk-off move in public software valuations, driven largely by uncertainty and speculation around how quickly AI adoption might change competitive dynamics, rather than broad-based fundamental deterioration across the sector. As a reminder, BCP Investment Corporation remains broadly diversified, with investments across 34 industries, with software representing approximately 12.5% of the portfolio's fair market value. We have been proactive in evaluating our software-related exposure through an AI disruption lens. Based on our internal review, the overwhelming majority of software exposure we track is assessed as low to medium AI impact; only a small portion is viewed as high impact. We also believe the market will increasingly differentiate between companies that are mission-critical and embedded in customer workflows, often supported by proprietary data, higher switching costs, and customers operating in regulated industries, versus simpler point solutions that may be more vulnerable if they fail to incorporate AI into their products and operations. As a result, our focus remains on scale, activity, and credit quality, structure, underwriting, and monitoring that emphasizes revenue durability, retention, pricing power, and downside protection. Looking ahead, while macroeconomic headwinds persist, we believe current market dynamics continue to create compelling opportunities for our disciplined strategy. We anticipate that 2026 will bring increased activity in the M&A market and expect to capitalize on opportunities in our portfolio. With a larger, more diversified platform and a stronger balance sheet headed into the year, we believe we are well positioned to drive continued earnings growth and long-term value creation. With that, I will turn the call over to Patrick Schafer, our Chief Investment Officer, for a review of our investment activities.
Patrick Schafer: Thanks, Ted. During the fourth quarter, we were intentionally prudent in new investment deployment as we executed on several key capital initiatives, including our debt refinancing and tender offer. We view this as disciplined capital management, and we are looking to deploy into attractive opportunities as conditions warrant. Competition remains elevated across sponsor-backed direct lending, particularly for higher-quality assets, and we continue to see lenders competing not only on spreads but also on terms and certainty of execution. In environments like these, we continue to stay disciplined, prioritizing transactions where we can achieve appropriate economics alongside strong documentation and downside protections. When pricing and returns are not compelling, we are comfortable stepping back and continuing to be selective from a credit quality perspective to focus on maximizing risk-adjusted returns for our shareholders. Turning to slide 10, originations for the fourth quarter were $9,600,000 and repayments and sales were $40,400,000, resulting in net repayments and sales of approximately $30,800,000. Overall yield on par value of new debt investments during the quarter was 11.8%. This compares to a 12.9% weighted average annualized yield excluding income from nonaccruals and collateralized loan obligations. As of 12/31/2025, our investment portfolio at year-end remained highly diversified. We ended the year with a debt investment portfolio, when excluding our investments in CLO funds, equities, and joint ventures, spread across 74 different portfolio companies and 34 different industries, with an average par balance of $3,500,000 per investment. Turning to slide 11, at the end of 2025, we had 13 investments on nonaccrual status, attributable to 10 portfolio companies, representing 47.1% of the portfolio at fair value and cost, respectively. This compares to 10 investments attributable to 8 portfolio companies on nonaccrual status as of 09/30/2025, representing 3.8% and 6.3% of the portfolio at fair value and cost, respectively. On slide 12, excluding our nonaccrual investments, we have an aggregate debt investment portfolio of $391,700,000 at fair value, which represents a blended price of 92.7% of par value and is 81.5% comprised of first lien loans at par value. Assuming a par recovery, our 12/31/2025 fair values reflect a potential of $30,900,000 of incremental net value, or a 14.8% increase to NAV. When applying an illustrative 10% default rate and 70% recovery rate, our debt portfolio would generate an incremental $1.46 per share of NAV, or an 8.7% increase as it rotates. I will now turn the call over to Brandon to further discuss our financial results for the period.
Brandon Satoren: Thanks, Patrick. For the quarter ended 12/31/2025, the company generated $17,500,000 in investment income, a decrease of $1,400,000 as compared to $18,900,000 reported for the quarter ended 09/30/2025. The decrease in investment income was primarily driven by the distribution from our Great Lakes joint venture coming in $1,300,000 lower than the prior quarter and historical levels as a result of a nonrecurring item, as well as the impact of two additional investments on nonaccrual and decreases in base rates. For the year, total investment income was $61,200,000 compared to $62,400,000 in 2024. For the quarter ended 12/31/2025, total expenses were $10,100,000, which represents a $200,000 decrease as compared to $10,300,000 reported for the prior quarter. The decrease in expenses was primarily driven by lower incentive fees and general and administrative expenses, partially offset by higher financing costs associated with 30 days of duplicative interest expense associated with calling the company's April 2026 notes, which amounted to $500,000. For the year, total expenses were $36,200,000, or a $2,200,000 decrease as compared to $38,400,000 in 2024. The decrease in expenses compared to the prior year was primarily driven by lower incentive fees. Accordingly, our net investment income for the fourth quarter of 2025 was $7,400,000, or $0.57 per share, which constitutes a $1,000,000 decrease, or $0.14 per share, from $8,400,000, or $0.71 per share, reported for the prior quarter. Core net investment income for the fourth quarter was $4,100,000, or $0.32 per share, compared to $5,200,000, or $0.42 per share, in the third quarter of 2025. For the year, net investment income was $25,100,000, or $2.28 per share, compared to $24,000,000, or $2.59 per share, in 2024. As of 12/31/2025, our net asset value totaled $209,200,000, a decrease of $22,100,000, or 9.6%, from the prior quarter's NAV of $231,300,000. On a per share basis, NAV was $16.68 per share as of 12/31/2025, representing an $0.87 decrease, or 5%, as compared to the company's prior quarter NAV per share of $17.55. Notably, the difference between the 9.6% decrease and 5% is the accretive impact of the tender offer and our buyback program. Broadly speaking, the decline in NAV was due to $14,500,000 in net realized and change in unrealized losses on the portfolio, as well as core net NII not covering the dividend paid during the quarter by approximately $2,000,000. As it relates to the right side of our balance sheet, we ended the year with gross and net leverage ratios of 1.5x and 1.4x, respectively, which compares to gross and net leverage ratios of 1.4x and 1.3x, respectively, for the prior quarter. Specifically, as of 12/31/2025, we had a total of $312,300,000 of borrowings outstanding with a current weighted average contractual interest rate of 6.9%. This compares to $324,600,000 in borrowings outstanding as of the prior quarter with a weighted average contractual interest rate of 6.1%. The company finished the year with $124,700,000 of available borrowing capacity under the senior secured revolving credit facilities, which are subject to borrowing base restrictions. Finally, I am pleased to share that during the quarter, the company refinanced its $108,000,000 of unsecured notes maturing in April 2026 by issuing $75,000,000 of 7.75% notes due October 2030 and $35,000,000 of 7.50% notes due October 2028. These actions reduced near-term refinancing risk and better laddered the company's debt capital structure by staggering the company's maturities, which improves the company's balance sheet. With that, I will turn the call back over to Ted.
Ted Goldthorpe: Thank you, Brandon. Ahead of questions, I would like to reemphasize our commitment to our shareholders. Our focus remains on disciplined capital allocation, maintaining a high-quality portfolio, and delivering attractive risk-adjusted returns. With a larger, more diversified platform and a strengthened balance sheet, we believe we are well positioned to drive continued earnings growth and value creation in the quarters ahead. Thank you once again to all our shareholders, employees, and partners for your ongoing support. This concludes our prepared remarks, and I will turn the call over for questions. Thank you.
Operator: Quick reminder before we start the Q&A. If you would like to withdraw a question or your question has been answered, please press 1 again. Thank you. We will take our first question from Erik Zwick from Lucid Capital Markets. Please go ahead.
Erik Zwick: Thanks. Good morning, everyone. You know, Ted, in your prepared comments, you mentioned the actions that you took in 2025 reflect the long-term vision as you position the company for its next phase of growth. I am curious, from your perspective, if you think about the next year or two, what do you think the mix of growth looks like from organic and acquisition mix? And I guess I am kind of curious on that latter potential source of growth, the acquisitions. What the pipeline looks like in terms of opportunities. And I guess if I add another piece in there, are there any other initiatives for growth that you are considering at this point as well?
Ted Goldthorpe: Yes. It is a great question. I do not see us pursuing organic growth. I mean, anything, given where our stock trades, makes sense for us to continue to buy back stock. So the tender plus share buybacks obviously were a pretty nice tailwind to NAV for us. In terms of all this recent choppiness in the market, all the recent headlines, our M&A pipeline is probably bigger than it has ever been. So that includes both public entities and unlisted entities. So we expect to be able to grow our platform. We had to get Logan Ridge done, and that sets us up to do continued M&A. As you know, we have kind of rolled up a number of BDCs over the last couple of years, and it is a key part to our strategy to basically continue to do that, optimize the portfolios, and continue to buy back stock.
Erik Zwick: That is helpful. And then, thinking about the pipeline, organic growth, and maybe the size of the portfolio, it sounds like you still consider the buyback a pretty attractive use of capital at this point. Is that the right read on your comments there?
Ted Goldthorpe: Yes. I mean, you can see our originations. Our repayments and sales are way higher than originations. The reason for that is it is more accretive for us to basically take the liquidation and buy back stock. That is what we will be doing. On a go-forward basis, we are very, very, very cautious in terms of new deployment. We are really looking for areas where we can deploy capital at very wide spreads, and again, those opportunities are just few and far between. We think there is a little bit of a disconnect between actual risk and the way risk is being priced, and so we are being pretty judicious on deploying new capital.
Erik Zwick: That is great color. Thanks. And last one, maybe for Brandon. Just looking at the dividend income that you recognized in the quarter, I think it was around $200,000 or something, $197,000, and that was quite a bit below the prior kind of four-quarter average, closer to, like, $1.9 million. So just curious if there is something noteworthy that changed in the fourth quarter and what the run rate of dividend income might look like going forward?
Brandon Satoren: Yes, that is right, Erik. The decrease was driven by the much lower Great Lakes—our Great Lakes joint venture’s—distribution this quarter. There was a nonrecurring item associated with it. It is an evergreen product, and every three years it rolls into a new series. That occurred in the prior quarter, and that impacted the Great Lakes distribution this quarter. It is very much a nonrecurring item. The product is sensitive to rates, so where it was previously earning and distributing is probably higher than what we are modeling going forward, but it still should generate, call it, low-teens return on a near-term basis going forward. I would also make the distinction that the nonrecurring item was just the difference between ROC versus income, so it was not necessarily a cash distribution question; it was how we are supposed to recognize the cash in terms of ROC versus income. That is right.
Erik Zwick: Great. Thank you for taking my questions this morning, guys.
Operator: Thank you. Our next question comes from the line of Christopher Nolan from Ladenburg Thalmann. Please go ahead.
Christopher Nolan: Hey, guys.
Ted Goldthorpe: Hey, Chris.
Christopher Nolan: The declining dividend, should we use that as a proxy for the earnings run rate going forward in the second half of the year?
Brandon Satoren: No. That was the nonrecurring item that Erik had just asked about, Chris. So next quarter, we would expect that to return to more normalized historical levels.
Christopher Nolan: Okay. And then the driver in the realized loss?
Ted Goldthorpe: The largest driver on the realized was a portfolio company called CPFLEX. Patrick, do you want to give some color on that?
Patrick Schafer: Yes. I mean, to be honest, Chris, it was a company that was going through a sale process. The sale process had been going on some time. We had a bid that was fully covering par plus accrued interest, and we were working towards the end. To be entirely honest, in the last couple of weeks of the transaction, there were some junior lenders in the capital structure that basically created a massive amount of hold-up value, and the lenders were forced into this discussion of whether we should file the company for a prepack and then get these guys out and move on. Again, we were a small part of the syndication, but there was just an overall view that, between the costs associated with the prepack and the risk that the buyer would move away from us, lenders were willing to accept what amounted to a good amount of hold-up value at the end of the day. The difference effectively between what we had it on the books at and what we ended up realizing was that last little bit of a couple folks holding us hostage.
Christopher Nolan: Got it. And then, for unrealized depreciation, were there any particularly big drivers there?
Patrick Schafer: Unrealized depreciation? Yes. Please. The biggest one is called HTC Hostway. Again, kind of a similar-ish story, but they were working through LOIs, and they have two different business units and were selling two different business units. They ultimately completed the sale of one of the business units, but the other one—effectively the buyer came back and retraded, like, a $0.50 discount or something like that, which obviously did not make any sense and we were not going to take. We said no. They came back at a higher valuation, but still not something that the company was comfortable with. There is a large lender that is leading the process there. Ultimately, the conclusion was to sell the first business where we got a reasonable cash offer and paid down some debt, and then we will take the second business back to market at some point this year would be my guess. But for valuation purposes, we are using that lower retraded valuation for purposes of that. So that is the driver of the unrealized depreciation. That is the biggest and the big needle-mover there.
Christopher Nolan: Got it. And then I guess strategically, on your comments in terms of the growth drivers—acquisitions—are there a lot of potential BDC sellers out there, and is the pricing for these things going down? What sort of color can you provide?
Ted Goldthorpe: I would say that there are a lot of permanent capital vehicles for sale. I think the choppiness is going to just exacerbate it. Scale matters. I think there are a lot of subscale vehicles that are going to have a hard time with originations, costs, and growth and fundraising. As I said, our pipeline is really robust, and it is a mix of both private and public entities. Actually, we are pretty excited about the M&A market. We think it is a really good way to create value for our shareholders.
Christopher Nolan: Interesting. Okay. Great. Thanks, guys.
Ted Goldthorpe: Thank you.
Operator: Our next question comes from the line of Angelo Guarino, a Private Investor. Please go ahead.
Angelo Guarino: Good morning. Thanks for taking my call. This is going to be a little bit of a tough talk—big picture tough talk. I am really trying to understand where you guys are focused on. So here are a couple data points. June 30, 2019, a couple quarters after you took KCAP, NAV per share, split-adjusted, $37 a share. Over that time, you have distributed $16 per share, split-adjusted, to shareholders, and now we are sitting $20 a share NAV below that. I have been a big supporter of you. I have been a big supporter of management, been a big supporter of the strategy, and have been growing. But you keep on using terms like risk-adjusted returns, shareholder value, continued growth, and shareholder value. I am trying to understand why it seems to me that quarter after quarter your hair is not on fire about the drip, drip, drip of the base value of our investment, which is NAV. You have to agree that BDCs are rarely going to trade at huge multiples of NAV, and why am I not seeing or hearing you talk about being—your hair on fire—about what has been happening to NAV ever since you took KCAP.
Ted Goldthorpe: Okay. I will answer that question. I do not necessarily subscribe to everything you said, but the reality is we have probably bought back more stock than any BDC as a percentage of our business. When we say things like that, we are trying to be judicious about how we allocate capital. We have obviously inherited a series of portfolios that were at the relative tail end and are winding those down. If you look at a lot of the headwinds toward NAV, a lot of it has come from inherited positions. When we took those on, we have been working those out over the last—I cannot remember the start date you used—but it is still over the last seven years. In the meantime, we bought back stock, we refinanced the capital structure, and we have done a number of actions that we think are shareholder-friendly. I totally hear what you are saying, and the math is the math. But when you say our hair is on fire, I would not necessarily say that. I would say we have a good command for—
Angelo Guarino: I guess what I am saying is I want your hair to be on fire.
Ted Goldthorpe: I do not know if you will love to hear—
Angelo Guarino: A lot of discussion about—I do not know what increasing shareholder value means if, quarter after quarter or year after year, NAV is just going down, down, down. I do not hear you addressing it in a way that is clear of where that turning point is going to be, where we are going to be seeing at least stable NAV. At the same time, sure, you did the stock buybacks. It was a good deal. But even in the face of stock buybacks, we had a decrease of NAV of $0.80 in just one quarter. That is not just a one-off. This has been going quarter after quarter after quarter. I am asking you as someone who is a supporter and has been very supportive of all—since you bought KCAP—because I was a KCAP holder. I have been here for this whole ride. Why am I not hearing what I think I need to hear that tells me when this is going to—when this drip is going to stop and this thing is going to turn? Just saying that I have bought back stock at a good deal—fine—but over six and a half years, I have lost $20 in NAV, and I have got $16 in distributions. I had to pay taxes on that distribution. It would have been better off to just liquidate KCAP and give it to me six and a half years ago and let me put them in Treasuries. I am trying to understand where this is going and when, and why I am not hearing you address in these conference calls where this turn is going to occur. Is that a better way of putting it?
Ted Goldthorpe: Yes. I mean, listen, we are very open-minded to having a broad discussion. Maybe we should just take this offline, and we are happy to sit down with you and take you through it, and maybe optimize our communication next quarter. So why do we not take it offline? We are happy to listen to you, of course, and listen to all of our shareholders, and happy to have that conversation.
Angelo Guarino: Okay.
Ted Goldthorpe: Thank you.
Operator: Our next question comes from the line of Paul Johnson from KBW. Please go ahead.
Paul Johnson: Yes. Thanks for taking my questions. I just wanted to echo that a little bit. I just want to understand as well where you really can provide value for shareholders, just given where we are at. In my opinion, at least at this point, I do not think that you have necessarily demonstrated that the mergers have been positive for shareholders, that this has been—that any of these have worked out, and it is clear that buying some of these assets at NAV has not necessarily been a good deal. It sounds like that is still the consideration and the plan going forward, but to me, it has not been a great way to increase shareholder NAV for you guys. So what other ways can we stabilize what is in the portfolio today and you can provide shareholders, aside from trying to scale up through mergers going forward?
Ted Goldthorpe: I mean, we used to provide a lot of disclosure about where we bought the assets versus where we monetized them, and we should put that back in the presentation and walk people through why we think a number of the actions we have taken were the right and prudent actions. We will provide additional—We have historically disclosed that in a lot of detail, and obviously, we should just continue to do that, and then lay out the roadmap for why we think that makes sense.
Paul Johnson: Thank you. That is all for me.
Operator: There are no further questions in the queue. I will now turn the call back over to our CEO, Ted Goldthorpe, for closing remarks.
Ted Goldthorpe: Great. Well, thank you all for attending our call. As always, please feel free to reach out to us with any questions, which we are happy to discuss. We look forward to speaking with you again in May when we announce our first quarter 2026 results. Thank you.
Operator: The meeting has now concluded. Thank you all for joining. You may now disconnect.